Operator: Good afternoon. Thank you for attending today’s NanoString Third Quarter 2022 Operating Results Conference Call. My name is [Megan] [ph], and I’ll be your moderator for today’s call. [Operator Instructions] I would now like to pass the conference over to our host, Doug Farrell, with NanoString. Doug, please go ahead.
Doug Farrell: Thank you operator and good afternoon everyone. Joining me on the call today is Brad Gray, our President and CEO; as well as Tom Bailey, our CFO. Earlier today, we released our financial results for the third quarter of 2022. During this call, we may make statements that are forward-looking, including statements about financial and operating projections, future business growth, trends and related factors, expectations regarding future operating results, cash flows, current and future orders, prospects for expanding and penetrating our addressable markets, our strategic focus and objectives, and the development status and anticipated success of recently planned product launches, as well as the impact of macroeconomic factors. Looking forward these statements are subject to risks and uncertainties, including those described in our SEC filings. Our results may differ materially from those projected, and we undertake no obligation to update those. Later in the call, Tom will be discussing our financial results and 2022 guidance. We have prepared as a supplement the GAAP financial measures, selected non-GAAP adjusted measures. The calculation of which are described in detail in our press release. Throughout the call, all financial measures will be GAAP unless otherwise noted. You can also find reconciliations of GAAP to non-GAAP measures, as well as the description, limitations, and rationale for using each measure in this afternoons press release. To aid analysts and investors in building their models, we have posted exhibits under the financial information tab of our investor relations home page that include a presentation of non-GAAP or adjusted measures or rather collective financial data. I’d like to remind everyone that next week we’ll be participating in the Stifel Healthcare Conference in New York, as well as the Jefferies Healthcare Conference in London. We look forward to having a chance to speak with many of you then. Now, I would like to turn the call over to Brad.
Brad Gray: Good afternoon and thank you for joining us. Spatial biology is a dynamic field, yielding powerful scientific insights. While expansion will last a decade or more, the next few years will determine a mix of technologies in which key discoveries will be made. While there are other emerging spatial biology providers, we believe that our early mover advantage, best-in-class technology, ecosystem and synergistic platforms and Blue Chip partners position us to lead. For this reason, our top priority is to maximize the number of our spatial biology instruments placed in leading research labs worldwide. During the third quarter, we made great progress on this top priority, generating orders for approximately 60 spatial biology instruments, an increase of approximately 70%, compared with the same quarter a year ago. We have now sold more than 100 cosmic Spatial Molecular Imagers and accumulated a revenue backlog valued at approximately $23 million. We expect this backlog to increase in Q4 and have set us up for robust growth for 2023. During Q3, we also advanced our scientific leadership. Images generated by our customers using the GeoMx digital spatial profiler was featured on the cover of not one, but two of the world's leading scientific journals. A similar description of CosMx was published in another leading journal and we strengthened our informatics ecosystem through a partnership with Visiopharm, whose mission is to transform pathology through AI-based image analysis and workflow standardization. The degree to which customer interest in spatial biology is trending towards platforms that provide spatial imaging at single-cell resolution has been even greater than we previously expected. The intense customer focus on single-cell imaging resulted in fewer orders for the GeoMx instrument. And in Q3, we captured 20 GeoMx orders compared to the 25 to 30 orders we had expected for the quarter. Fortunately, our CosMx spatial molecular imager is a leading product in the single-cell imager category and we are capturing demand at a significant pace. We generated approximately 40 CosMx orders during Q3, substantially exceeding the 25 to 30 CosMx orders we had guided for the quarter. As a result, while we recognized less GeoMx revenues than previously expected, we exceeded our guidance for overall spatial instrument orders. While spatial biology instrument orders were strong, Q3 was a challenging quarter for consumable sales, which were the largest contributor to the shortfall in our Q3 revenue relative to guidance. We experienced a decline in annual consumable pull-through per system for both nCounter and GeoMx, which we believe was due to a combination of lumpy ordering patterns, customer life cycles, and macroeconomic factors. For nCounter, the pull-through dropped across virtually all geographies and customer segments and seemed to be driven by decrease in demand from the older systems in our installed base. For GeoMx, the weakness seemed to be primarily a product of lumpy ordering patterns and the impact of a relatively large number of newly placed systems still ramping to their full consumable run rate. In both cases, weakness was exacerbated by broader market conditions, including continued clinical trial delays among large pharma customers, reduced spending [indiscernible] small biotechs, and COVID-19 lockdowns in China. While we are clearly disappointed by the shortfall, I remain confident that we are set-up for a strong 2023 and beyond. Importantly, we have recently reevaluated our key priorities to ensure that we invest in the most promising aspects of spatial biology, while streamlining our cost structure. As a result of this review, we are eliminating approximately 95 positions and reducing spend in other non-personnel areas. While these decisions are difficult, especially if we consider the impact on our people, these actions will ensure that a more substantial portion of expected 2023 revenue growth falls to our bottom line and that we are positioned to deliver on our commitment to achieve breakeven without the need for additional financing. Tom will provide more details on our financial outlook during his prepared remarks. Before I hand the call over to him, I'd like to provide an overview of our progress towards our strategic objectives for the year. Given the tremendous customer interest, I will start with an update on our objective to launch CosMx as the industry leading molecular imaging platform.  Customer interest in CosMx has exceeded our expectations throughout the year. As we prepare to ship our first commercial systems in the weeks ahead, we are more confident than ever that CosMx SMI has the best performance specs and the ecosystem to be a platform of choice. CosMx leads with best-in-class performance metrics, including highest flex RNA assays, the capability to image proteins, and robust data quality, all done and challenging FFPE tissue. CosMx is helping us reach new customers and showed strong synergy with the whole transcriptome capabilities of GeoMx boding well for a long-term leadership in spatial biology. In Q3, two-thirds of CosMx instrument orders came from new to NanoString customers. [Building our confidence] [ph] is expanding our customer base into discovery research. One-third of these new customers chose to adopt both CosMx and GeoMx at the same time by purchasing a bundle. Meanwhile, one-third of all Q3 CosMx instrument orders came from labs who had previously adopted GeoMx, primarily within translational research. To date, CosMx has penetrated only 20% of the GeoMx install base suggesting many more opportunities for cross-selling going forward. In the near-term, we expect our spatial instrument order mix to remain CosMx heavy. CosMx represents about 60% of opportunities added to our spatial instrument phone in Q3 and we expect CosMx to continue to account for about two-thirds of spatial instrument orders. Our beta program is progressing well with CosMx instruments installed and integrating with AtoMx at three beta customer sites. Customer feedback has been overwhelmingly positive. And through these interactions, we've identified several training and software updates that we are incorporating into the final commercial rollouts. We're concluding the validation of CosMx and AtoMx as an integrated solution and are preparing our first commercial systems for shipments in the weeks ahead. We expect to ship between 5 and 10 CosMx systems before the end of the year and we can't wait to see the [great science] [ph] these systems will generate. Our second objective is to drive GeoMx DSP further into mainstream research, broadening adoption across multiple areas of research. From a scientific perspective, our CosMx customers had a wildly successful third quarter. Papers and images generated using GeoMx raised the covers of two prestigious Scientific journals, Nature Genetics and Clinical Cancer Research. In total, our customers published more than 30 new papers, bringing our total loan to more than 160 peer-reviewed publications as of September 30. This productivity underscores the utility of GeoMx, particularly in translational research for human oncology and immunology. Demand for GeoMx instruments from translational researchers remains strong, even as discovery researchers opt for single-cell resolution of CosMx. And translational researchers drove the vast majority of the approximately 20 GeoMx instruments [indiscernible] during the third quarter. We remain focused on ramping the consumable pull-through of our growing installed base of GeoMx systems. We've observed that customers take time to build their pipeline of spatial projects, reaching steady state utilization 12 or 18 months after instrument purchase. While GeoMx consumable revenue has grown, the large number of instruments sold in the second half of 2021 and activated in the first half of 2022 have weighed on the consumable pulp group per system. We are bolstering our support for customer ramp and consumable pull-through going forward by refocusing our PHD field application specialists, primarily on spatial biology experiment full design, helping customers accelerate their pipeline of projects on our platforms. We expect this will benefit both GeoMx and CosMx pull-through in the long-term. Meanwhile, we continue to invest in partnerships that enhance the GeoMx workflow. Using Visiopharm’s AI driven digital pathology software, Oncotopix Discovery, researchers will be able to analyze four-color fluorescent images generated on GeoMx, and combine these images with those using traditional H&E staining, to better understand the number and type of cells that are present within regions of interest. We expect a combination of these technologies will accelerate biomarker discovery and validation for both whole transcriptome RNA and high-plex protein analysis. We're committed to delivering informatics solutions that enhance research productivity, bringing us to our third strategic objective, which is launching our AtoMx Spatial Informatics platform.  Spatial experiments require unprecedented bioinformatics capabilities to support image analysis, data visualization, and global collaboration. We believe that the highly scalable compute and storage capacity of our cloud-based AtoMx platform is essential to drive broader adoption of spatial biology and that AtoMx is an underappreciated competitive differentiator. We expect to achieve our goal of launching AtoMx in the weeks ahead and AtoMx becomes available to the first customers receiving their commercial CosMx systems. We expect to roll AtoMx out to our GeoMx users during the first half of 2023. AtoMx employs a flexible data structure, so it's ready to be leveraged using artificial intelligence and machine loading from day one. Together, NanoString and Visiopharm are exploring opportunities for further integration by connecting our AtoMx Visiopharm software so that researchers can leverage artificial intelligence and machine learning to provide spatial biology for both of our spatial biology platforms. Our fourth objective for 2022 is to sustain our nCounter franchise. Q3 was a challenging quarter for nCounter as new instrument placements and consumable pull-through both fell short of expectations. Instrument placements flowed among academic researchers, especially in Europe and were hindered by a year-on-year decrease and the number of GeoMx plus nCounter bundles that were being sold. Consumable pull through was challenged by an increasing age of our nCounter installed base. which first commercially launched back in 2009. At this stage in the nCounter lifecycle, we believe that some older systems are becoming inactive as researchers who originally purchased them transition to new roles or take their research in new directions. While the annualized consumable pull-through on each active nCounter system has remained relatively stable over the last 24 months. Growth in the number of active in camera systems is flat as the number of new encounters being placed approximately equals the number of older nCounter systems being inactivated. While we do not view nCounter as a future growth driver, it remains an important foundational business that continues to generate great science and provide substantial cash flow to support our global commercial channel and innovation. I'd now like to turn the call over to Tom to review the details of our financial results and outlook for the balance of the year.
Tom Bailey: Thanks Brad and thanks all for joining us today. Revenue for the third quarter was $29.5 million, reflecting a CosMx heavy spatial instrument mix, lower GeoMx and kind of consumable sales of our forecast indicated, and about $1 million negative foreign currency impact. For CosMx, we generated orders for about 40 new systems in Q3, adding approximately $9 million of revenue backlog to be recognized in future periods. As of September 30, 2022, our cumulative CosMx orders stand at over 100 systems, translating to a total revenue backlog about 23 million. Q3 GeoMx revenue was 9.3 million. GeoMx instrument revenue was 4.7 million, reflecting approximately 20 new system shipments and consumables revenue was 4.6 million. Q3 annualized GeoMx consumables pull-through was about 58,000 per installed system. At the end of Q3, our GeoMx installed base was approximately 330 instruments with about 15 new instruments installed during the quarter. For our nCounter business, which includes all service, Q3 revenue was 20.2 million. nCounter instrument revenue was 3.3 million, consumables revenue was 12 million, and Q3 annualized nCounter consumables pull-through was approximately $44,000 per installed system. At the end of Q3, our nCounter installed base was approximately 1,105 instruments with about 20 new instruments installed during the quarter. Turning to margins and expenses, I'll provide results on a non-GAAP or adjusted basis, which removes the impact of stock-based compensation, depreciation, and certain other items. Please refer to our press release, as well as the exhibits we have posted to our Investor Relations webpage for detailed information on how our non-GAAP or adjusted measures are prepared. Q3 adjusted gross margin was 57%, an improvement of 100 basis points as compared to Q3 of last year and an improvement sequentially reflecting management of manufacturing personnel and other expenses to align with current product sales volumes and efficiency improvements. These impacts were partially offset by investments we are making, manufacturing capacity, primarily to support commencement of CosMx instrument shipments and consumables. Adjusted R&D expense was 14.5 million, a decrease of 12% year-over-year, primarily due to the capitalization of approximately 3.5 million of software related product development costs that will be expensed in future periods. Inclusive of capitalized amounts, our Q3 R&D spend reflects continued investment in our spatial biology platforms, including the hardware consumables, and software development for CosMx and AtoMx in advance of the expected shipment of our first commercial CosMx instruments in Q4. Adjusted SG&A expense was 28.4 million, an increase of 20% year-over-year and driven primarily by investments made in spatial biology related commercial initiatives. Q3 adjusted EBITDA loss was 26.1 million, and our cash and cash equivalents at September 30 were 230.5 million. We also announced today that we have taken steps to streamline our cost structure by eliminating selected positions and activities, while maintaining key investments in spatial biology. As our business mix has evolved, we decided to take these steps to prioritize our portfolio of technology’s operational and commercial initiatives. These steps will allow us to better leverage our operating expenses, while investing in our spatial biology business and will support our objective of reaching cash flow breakeven with our current balance sheet resources. We expect to report a charge of approximately 3.5 million in the upcoming fourth quarter related to these changes. Turning to guidance. Our Q4 outlook reflects a revised mix of expected spatial biology system orders and consumables pull-through rates for GeoMx and nCounter based on our Q3 experience with the upper-end of our guidance ranges assuming modest Q4 driven seasonal improvements. For the fourth quarter, we expect to receive orders for over 60 spatial biology systems with an approximately 66%, 33% mix between CosMx and GeoMx, implying a cumulative total of over 200 spatial systems sold in 2022. Spatial biology revenue of $12 million to $13 million we expect will derive from sales of GeoMx systems, the shipment of our first CosMx systems and from consumables.  We would expect approximately $7 million to come from instrument sales and approximately 5 million to 6 million to come from consumable sales. We expect Q4 nCounter revenue of 21 million to 22 million and total Q4 revenue of 33 million to 35 million. We have also updated our 2022 full-year outlook, which is detailed in today's press release to reflect our year to date actual results and our Q4 outlook. Our updated full-year outlook also incorporates approximately one month's impact of our announced cost reduction initiatives. Looking ahead to 2023, the CosMx systems orders we've already secured in 2021 and 2022 provides the foundation for expected revenue growth of 40% to 50% in 2023. We also expect improvement in our EBITDA loss next year, reflecting expected revenue growth combined with a full-year's impact of our cost reduction initiatives and anticipate ending 2023 with approximately $140 million to $150 million of cash. We look forward to offering more details when we provide our 2023 annual guidance for a usual process in February. Now, I'll turn the call back over to Brad for closing comments.
Brad Gray: Thanks, Tom. We are focused on the dual objectives of spatial biology in market leadership and achieving cash flow breakeven on our current resources. We believe our leadership in spatial biology is best measured to the pace of new instrument orders, and by that measure, we are having a solid year. Our successful launch of CosMx sets the stage for strong revenue growth in 2023. We're addressing trends in our nCounter and GeoMx business with decisive action and are streamlining our cost structure to maintain balance. With our unique spatial biology portfolio and strong balance sheet, we believe we're poised to deliver both market leadership and future profitability. With that, we'll now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Kyle Mikson with Canaccord Genuity. Your line is now open.
Kyle Mikson: Hey, thanks for the questions. I guess, Brad, just starting with the quarter, could you just provide some more detail on like why consumables for GeoMx was lumpy by ordering was lumpy, like how do you, kind of prevent that going forward? And you didn't mention the realign commercial team much, I mean, was any of the shortfall here due to that realignment earlier in 2022?
Brad Gray: Thanks for that question, Kyle. I'll start with the second one first. We do not believe that the shortfall in Q3 was related to our sales force realignment in the first quarter. We really passed the issues that that realigned and created. Many of the differences we saw between territories that hadn't been realigned are now – raised the junior consumable reps have caught up to the senior consumable reps in terms of performance, etcetera. We think now that we have those execution issues behind us, we're more focused on macro and market trends and issues that are very specific to our installed base in terms of the lifecycle of the customer. So, looking at the Q3 GeoMx consumable pull-through, I'd say it's impacted by three different factors, which are sort of tricky to parse apart. The first is lumpy ordering patterns and we've come to appreciate there that new sites for GeoMx very often build inventory early on and then burn it off slowly over time. We know that we saw some stocking orders in the third quarter of 2021 that did not repeat in the third quarter of this year, and as a result, that's part of the explanation for the year-on-year drop.  The best evidence for lumpiness is the very strong Q4 seasonality that we have seen in both 2020 and 2021 where our pull-through reached over 110,000, that wasn't really pull-through on a run rate basis in terms of actual experimentation [and whether] [ph] they're stocking behavior. The second issue is macro. And when we look at where our year-on-year pull-through dropped the most, we can see that it dropped the most amongst biopharma companies and within China. And we know that these groups have been under some macroeconomic pressure. The last one and the trickiest one for us to model today is the lifecycle impact of new sites. So, it takes a lot for a GeoMx site to reach its whole ramp of consumables. Sometimes there's logistical issues that needs to overcome such as the purchase of ancillary equipment for slide prep or data storage analysis solutions, sometimes they're learning to plan new projects and taking on new concepts of spatial biology and [indiscernible] selection, and sometimes core labs simply need to promote their new spatial biology capability to their local customers to build a book of business. And overall, when we look back, a new site tends to do about 60% of what its long-term run rate for consumables will be during its first year and then ramped up to 80% in the second year, and 100% thereafter. Because we have a very large number of GeoMx systems sold in the second half of last year and installed and activated in the first half of this year, we are experiencing a wave of relatively low pull-through systems that are still ramping up to their full run rate. So, it's very tricky to assign to allocate the pull-through drop across these three different factors, but it's something we're continuing to study and that we will provide updates on in future periods and when we guide for next year.
Kyle Mikson: Okay. That was great. And then maybe just thinking about GeoMx specifically just staying on that, going forward, I guess, spatial order is one-third being GeoMx sounded like that was the expectation? Maybe just talk about your confidence in the health of that franchise and kind of the visibility heading into 2023 and beyond. And I was also curious if NGS readout and WTA as much as – because how much of a headwind – a tailwind that I thought that might have been last year or the year earlier? Thanks.
Brad Gray : Yes. I'll take the second question first again Kyle. WTA and NGS readout now represent the vast majority of the GeoMx system. 85% of our new systems are placed in front of the sequencers and the whole transcriptome Atlas assays account for something like 75% of our consumable revenue. So, that's been really a successful story. We're also long-term optimistic about the value of the GeoMx franchise. The science speaks for itself. It's no small thing to be on the cover of two different journals within just a few months’ time. We now have a 160 peer-reviewed papers, 30 a quarter getting published. This for translational researchers who are doing immunology oncology, this is a very productive and powerful instrument.  I do think the idea of single cell imaging is sucking a lot of the oxygen out of the room right now with respect to people who are building their new spatial capabilities, but in the long-term, we still believe GeoMx has an important place.  And I think the best evidence we have today for that is the strong synergy between CosMx and GeoMx when it comes to who's purchasing the CosMx systems, a very large fraction of those who are buying CosMx are either doing so with a GeoMx in a bundle or labs who already purchased a GeoMx. and want to have complementary capabilities.
Kyle Mikson: All right. Perfect. And then just one more before I hop-off, just on the 2023 outlook, I guess. And I know you're not going to provide much detail until it will be on the 4Q call, but Tom or Brad, a lot of those hinges upon GeoMx next year including pull-through, I mean, how should we sort of think about that as we kind of model going ahead here? Thanks.
Tom Bailey: Yes, I think the first answer is obviously we'll provide more detail that we already filed with. Setting that aside what we built our growth rate ranges, we didn't make heroic assumptions around GeoMx. I think that you can get to our numbers by assuming GeoMx repeats what it does – what it did this year for instruments and that pull-through competes what it did this year as well. And you can get to those growth rate ranges with those conservative assumptions. So, we'll comment more in February.
Kyle Mikson: Okay, got it. And just to repeat, the range was 40% to 50% growth and I think it was a backlog for CosMx of [$23 million] [ph], is that correct?
Tom Bailey : $23 million currently and we expect that to be about $30 million by the end of the year, in dollar terms.
Kyle Mikson: Perfect. Okay. All right, guys. I'll leave it there. Thanks so much for the questions. Appreciate it.
Brad Gray: Thank you, Kyle.
Operator: Thank you. Our next question comes from the line of Dan Brennan with Cowen. Your line is now open.
Dan Brennan: Great. Thank you. Thanks for taking the question guys. Maybe just starting off with the updated guidance for the year, fourth quarter arguably still looks a little steep. Just walk us through the visibility, particularly in GeoMx and we're getting to like 12 million to 13 million in revenues versus 9 million, a little over 9 million this quarter. Just give us a sense, it looks like placements are expected to double sequentially. Is that about right? Just anything on what's implied for GeoMx in fourth quarter and kind of what’s the visibility there?
Tom Bailey: Yes. So, I would – the fourth quarter Dan, that $12 million to $13 million range also is inclusive of the 5 to 10 COSMIC systems that we expect to ship that Brad mentioned in his scripts. You have to consider that when looking at that range. I think when you do that, you'll see that the range that we've established for GeoMx is a conservative range that assumes that the bottom-end of the range that pulls through, it's about the same as we saw in Q3. And at the top end, what you would characterize as a typical sequential improvement, which for GeoMx has been about a 15% sequential improvement in pull-through. That will be the top end of our range, which is still lower than the old range that we had before. So, I think that the new guide that we've set up incorporates those factors and we feel confident in the place that [we've planned at] [ph] that for Q4.
Dan Brennan: Got it. You guys talked about China and emerging biopharma in some of the remarks. Just can you remind us like how did China do in the quarter? And how big is that emerging biopharma business for you since you're, kind of citing that as a weak point?
Brad Gray: Yes. So China underperformed its plan during the quarter. Tom may have the exact year-on-year numbers. China represents about 5% of our overall revenue for the company. Small biopharma represents about 15% of our overall revenue for the company, but we also cited that large biopharma, at least on the consumable side, has also underperformed and that makes up about another 10% of our business. So, I think we – this was not the only factor that impacted our performance, but we do have – when you add those together, 25% to 30% of our business exposed to [indiscernible] markets that are, you know, facing the [indiscernible] challenges.
Dan Brennan: Got it. And then when you think about CosMx going into 2023, obviously really strong order book, a lot of momentum there. Like how do you see, I guess maybe since you put throughout the 40% to 50%, how much does that assume additional CosMx orders in the first half of the year they can install? Just wondering, you got a lot of momentum right now, which is great and hopefully that is sustained, but obviously, there's a lot of Xenium's coming out and you've got vision that's on the market and you have others that are coming, just wondering kind of what you baked in for kind of additional order conversion as we look ahead into 2023?
Tom Bailey : Yes, I got it. I'll repeat that we'll guide in February, but I think that we built that 40% to 50% range, Dan, not a conservative assumption on what we would expect orders to be for CosMx next year. So, you do not have to make a growth assumption on CosMx’ orders to get to the revenue range, growth rate range that we articulated in 40% to 50%.
Dan Brennan: Got it. And then maybe final one, if you think about you guys had the Investor Day not that long ago, maybe [indiscernible] longer. When you look out, say, the next three to five years, I mean, you've got, you know, three elements which is wobbling right now, but you guys still feel good longer-term. It's got a real strong place and CosMx obviously guys are excited. How do you think about the collective business, say growing, not over [2023] [ph], I mean, when you look at, say, the next three to five years, 20% top line growth, 30% top line growth, any range of outcomes that you would talk to about what the overall company should be able to do?
Brad Gray: Dan, this is Brad. I don't think we're going to establish long-term growth rates here on this call. But I think we believe we're going to be a market leading company in a market – in the spatial biology market, which is just getting started and will grow in a very meaningful way for a decade ahead. We obviously have some transient impacts this year with the inability to recognize revenue on CosMx, and we're still learning the consumable pull-through dynamics on GeoMx, but the secular trend, heavy growth in the spatial biology industry should drive meaningful top line growth for the years ahead.
Dan Brennan: Alright, guys. Thank you.
Operator: Thank you. Our next question comes from the line of Dan Arias with Stifel. Your line is now open.
Dan Arias: Afternoon, guys. Thanks for the questions. Brad, why do you think biopharma spending is retracted? Historically speaking, the consistency there has been well above average in the R&D setting?
Brad Gray: Well, we've been talking about forever since the recovery from the pandemic about a slowdown in clinical trial approval that occurred during the COVID-19 pandemic. And because the translational biology that's done on our systems is downstream of that approval typically starting once all the clinical trial samples have been collected, we have seen slower recovery in pull-through in biopharma than we had amongst academics in the time since the 2020 pandemic. That has not improved. It has remained suppressed relative to pre-pandemic levels.
Dan Arias: Okay. But if you were – I remember you were talking about that earlier in the year when it didn't seem like that was impacting GeoMx pull-through at the time. Is this sort of like a follow on effect or something that you're realizing later? I'm trying to understand the progression of the issue over the quarters.
Brad Gray: Well, it's an issue that has been impacting both nCounter and GeoMx pull-through ever since the post-pandemic period. I think we've talked about it most in the context of nCounter because the overall magnitude in absolute dollar terms for nCounter is bigger than it is for GeoMx in the stage of their lifecycles. But this is not a new issue. It's probably one that we would have guessed, would have recovered by now, that we have not seen the recovery in biopharma pull-through that we would have expected as those trials completed enrollment and translational biology began.
Dan Arias: Okay. And then you mentioned this quarter and then last quarter as well that pull-through is suffering from some of the newcomers that are just slow to ramp, what about the existing users? Those labs that bought an instrument in 2019, 2020, early 2021. I think there were about 200 devices or so that were installed by June of 2021. So, just curious how pull-through is trending amongst that crowd and how it compares to the [new folks] [ph] that you're referencing here?
Brad Gray: Yes. When we look over a long period like the trailing 12-months from the third quarter of 2022 back versus the previous trailing 12-months from the third quarter of 2021 back, they're very similar. That being said, if you just look at Q3, our pull-through was down sequentially from Q2 to Q3 across all vintages of our GeoMx installed base. So, this particular quarter, even the more mature systems that have been out there a while had lower ordering. And we attribute that to some of the other factors I mentioned in terms of lumpiness, and, you know, the macro effects.
Dan Arias: Okay. Last one for me. Just Tom on CosMx. As orders continue to build here, I'm just curious what would you think about as far as the placement max for 2023? I know talking about 2024 seems a little crazy right now, but just wondering what we need to sort of in our minds pencil in for backlog towards the end of the year there?
Tom Bailey: Yes, I think that in the guidance range that we incurred, it assumes that orders are similar to this year for CosMx, so we deliver about half our backlogs. So, I would suggest that you'd go into 2024 with about 60 give or take in backlog. That's based on the 40% to 50% range that we talked about. Obviously, we'll give more explicit commentary in February that could be – have some movement around that, but that 40% to 50% would infer about that number, Dan. 
Dan Arias: Okay. Thank you, guys.
Operator: Thank you. Our next question comes from the line of [indiscernible] with JPMorgan Chase. Your line is now open.
Unidentified Analyst: Hello. Thanks for taking the question. This is [indiscernible] on for Julia. So, regarding the order dynamics between GeoMx and CosMx, specifically for your clients, could you provide more color into the customer preferences of which instrument to purchase perhaps by customer type or would you say, it's more or less equal throughout the various customers? And then how does that compare to your internal expectations?
Brad Gray : I think you're – I had little trouble hearing your question. The first part I know was talking about [mapping] [ph] the preference for CosMx and GeoMx into different customer types. So, I think what we've observed so far this year, going back to 2021, we sold quite a few GeoMx systems to both discovery customers and translational customers. So, discovery customers remember when we – are those who are doing very basic scientific research, not necessarily focused on curing disease and translational researchers of those who are doing work on human tissues samples for drug development or diagnostic development. So, our GeoMx sales last year were pretty nicely balanced against those two customer segments. This year, those discovery customers have shown a very strong preference for single-cell imaging. And in fact, CosMx is predominantly going to discovering customers. Now, interest in GeoMx remained strong from translational customers, but given the mix we had last year, which was balanced across the two, we've seen a meaningful year-on-year drop in the total number of GeoMx systems [we’re placing] [ph].
Unidentified Analyst: [That is pretty helpful] [ph]. And then, the second question is, you know, we're seeing a growing number of new entrants in the spatial market, especially with, you know, to the next launches in your new product. Obviously, you have a head start with CosMx, but as you know, these [competing] [ph] platforms launched, how do you think about those dynamics going forward? And what are your most durable advantages for CosMx versus for [competitors] [ph]? Thank you.
Brad Gray : Yes. I heard the question [now Tom] [ph]. So, we feel really great about the position of CosMx and the durable advantages that it has. I mean, I think, first, we picked the RNA plex at the [P specification] [ph] where we are currently market leading and we expect to remain market leading. So, we do a thousand different RNAs in once, most of the other competing imagers do about half that. The second area we distinguish ourselves is on protein imaging where we'll launch with a 60 plex offering and we've demonstrated already an ability to go to 100 plex, that is a feature that most of the other imagers are not able to offer their customers. So, we feel very good about the competitive profile of CosMx. And I think so far we have a very good win rate in those instances where customers are evaluating our offerings against others.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question comes… Go head.
Brad Gray: Go ahead, operator. You broke up a little bit there.
Operator: Sorry about that. The next question comes from the line of Catherine Schulte with Baird. Your line is now open.
Catherine Schulte: Hey, guys. Hey, guys. Thanks for the question. First, I think you said that … Can you hear me?
Brad Gray: Yes. We can, Catherine.
Catherine Schulte: Perfect. I think you said the number of active nCounter’s is remaining about flat as new systems are being offset by older systems that are being tired, do you have any sense for why these systems are being retired? Is there a replacement cycle dynamic within accounts or users stopping encounter based research? And if so, why?
Brad Gray: Well, the two major reasons that we see people no longer use our nCounters are one, the individual who purchased that nCounter and who was responsible for experimentation on it moves from one job to another. And two, the science moves in a different direction perhaps away from both gene expression to some other area of science. And when we look back across our installed base and we look at where those systems are inactive, it’s highly correlated with the age of the system because as you can imagine, with every cumulative year after instrument has been placed, the cumulative probability of the employee who bought [indiscernible] goes up and the cumulative probability of the science going in a different direction goes up. So, there is a life cycle to these systems that's totally independent of their usable life. I mean, we have active systems that are around there from 2012 still running assays, but every year, the possibility that the researchers move in a different direction increases.
Catherine Schulte: Got it. And then on pull-through, we've heard some of your peers talk about weakness on the consumable side as well just given maybe more pronounced seasonality and inventory work through. So, can you just talk through how activity levels trended throughout the quarter and maybe how October looked just to get a better sense for which of those were transitory and which of those dynamics are likely to stick around?
Brad Gray: Well, we don't have perfect visibility into activity levels. Our systems are not connected with the telemetry that allows us to monitor their use remotely as some of our competitors are. So, I can't really speak to that question, Catherine. I think our early October trends are consistent with the guidance that Tom gave, which is to say, we are not expecting a substantial transitory recovery in the fourth quarter and we have not built that to our guidance.
Catherine Schulte: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Tejas Savant with Morgan Stanley. Your line is now open.
Edmund Debler: Hi, guys. This is Edmund on for Tejas. Thanks for taking the questions. The first question for me is, what's embedded for your nCounter franchise and your updated guidance? And given some of the dynamics that you observed in the quarter, would thinking about nCounter next year as flat year-over-year be the right way to think about it?
Tom Bailey: I think [indiscernible] in the fourth quarter, as I had mentioned in the prep remarks and in other comments, so we don't put guidance at the bottom-end of the range for consumables, at what the Q3 pull-through was, at the top end of the range, you can assume about a 10% sequential improvement in pull-through, which is typically what we would see on a seasonal basis in a normal year. So, consistent with the comment that Brad just made about not assuming any improvement in the macro factors. That's what that reflects. And so that's where the overall guidance was built for Q4 and we'll give more commentary on next year as we get into the February time frame, but the growth rate ranges that we assumed for the 40% to 50% range assumes the typical flat instrument year-over-year that we typically assume our nCounter guidance and pull-through that was consistent with what we observed this year, so no improvements next year. So that still would suggest there would be some growth, but not any growth in the pull-through ranges that we experienced this year that were built in those preliminary assumptions.
Edmund Debler: Got it. And understanding you want to hold 2023 guidance until later, but how are you thinking about academic budgets heading into next year in-light of the upcoming returns in the U.S. and other government priorities such as energy subsidies in the EU?
Brad Gray: We have not in our commentary about next year's growth rate factored any major changes then to academic research funding in one direction or the other. We'll keep an eye on it, but you know, spatial biology is a relatively new field that I would hope would be funded pretty well. And you can see, I think that through some major recent initiatives, there's a huge new brain mapping effort that's underway, that's being run out of the Allen Institute, up here in Seattle that represents a major application in spatial biology technology that's just got, I think, $0.5 billion in research funding over multiple years ahead. So, my hope is, regardless of what the budget does overall, the application of new technologies like spatial will be at the top of the priority list.
Edmund Debler : Got it. Appreciate that. And one final question for me. Appreciating the fact that China is only about 5% of your total business, you've also talked about the fact that you wanted to expand your exposure in the region, so I was wondering if you think back about all of the headwinds that you saw during COVID and the ongoing headwinds in the region, has your international expansion plan in China or your approaches changed in any way? And do you plan on further expanding from that 10 plus direct sales in the region in the next 12 months?
Brad Gray: Our international expansion plans have not changed. Unfortunately, the investment we've made and the great team we've built in China haven't really yet had a chance to prove what they can do because of the rolling lockdowns that we've experienced over there. But I still have high degree of confidence that they will succeed when provided – when things, kind of cool down with the virus and we don't have any plans to reduce our pace of investment there. 
Edmund Debler: Great. Thank you very much for the time.
Brad Gray: Thank you.
Operator: Thank you. There are currently no further questions registered. [Operator Instructions] There are no additional questions waiting at this time.
Brad Gray: Very good. Thank you everyone for joining us today. A full transcript should be available, as well as a replay in the next couple of hours. You can access that by dialing 866-813-9403. The conference ID code 931170. Thank you again. This concludes our call.
Operator: That concludes the NanoString third quarter 2022 operating results conference call. Thank you for your participation. You may now disconnect your lines.